Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Choice Hotels International's Fourth Quarter and Full Year 2020 Earnings Call. At this time, all lines are in a listen-only mode. I'd like to turn the conference call over to Allie Summers, Investor Relations Director for Choice Hotels.
Allie Summers: Good morning and thank you for joining us today. Before we begin, we'd like to remind you that during this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the Company and its results. Actual results may differ materially from those indicated in forward-looking statements and you should consult the Company's Forms 10-Q, 10-K and other SEC filings for information about important risk factors affecting the Company that you should consider. Moreover, we would like to acknowledge that there continues to be significant uncertainty as to the impact of the COVID-19 pandemic on our future performance.
Patrick Pacious: Thanks, Allie, and good morning, everyone. We appreciate you taking the time to join us and hope you are all well. This week we lost a leader who had a major impact on our industry and on the lives of many who call the travel industry their home. On behalf of all of us at Choice Hotels, I'd like to express our deepest condolences to Arne Sorenson's family and to the many people across our industry who are inspired by his personal and professional leadership. We will all miss him. As we look back, 2020 was a year unlike any other, a year that challenged leaders and companies around the globe and Choice Hotels was no exception. But it was the collective response, dedication and resilience of our franchise owners, their hotel staff and Choice associates that made all the difference for our company and franchise system. I would like to thank them again for everything they've done for our guests and the communities they've impacted. During the year of significant challenges brought upon the industry by the pandemic, Choice Hotels achieved a number of key milestones that demonstrate our long-term strategy of growing our presence in more revenue intense segments and locations is working. 2020 was the year that our flagship Comfort brand return to unit growth after its successful transformation, increasing its domestic system size by 2%. As we celebrate Comfort's 40th anniversary this year, the success of the brand is proof positive that we invest for the long term. And as you can see by both unit growth and impressive RevPAR performance, those investments are paying off and position the brand for growth into the future. 2020 was also the year our extended stay segment rapidly expanded by 44 units to nearly 450 domestic hotels. And the domestic pipeline for that segment alone reached over 315 hotels. The segment now represents nearly 8% of our total domestic portfolio and strong developer interest reaffirms that our strategic commitment and continued investments in this highly cycle resilient segment are driving a competitive advantage.
Dom Dragisich: Thanks, Pat, and hello, everyone. I hope that you and your families are all well and healthy. Today, I'd like to provide additional color around our fourth quarter and full year results and share updates regarding our balance sheet liquidity and approach to capital allocation. I'll close with our thoughts on the outlook for the road ahead. Taking a closer look at our results, for full year 2020, total revenues excluding marketing and reservation system fees were $371.5 million, $88 million of which was generated in the fourth quarter. And adjusted EBITDA totaled $241.1 million, $54.7 million of which was generated in the fourth quarter and our adjusted EBITDA margin for full year 2020 was 65%. As a result, our adjusted earnings per share were $2.22 and $0.51 for full year 2020 and the fourth quarter respectively. Let me now dive into our three key revenue levers beginning with RevPAR. Our domestic systemwide RevPAR outperformed the overall industry by nearly 17 percentage points for the full year, declining 30.7% from the prior year. Our fourth quarter 2020 domestic systemwide RevPAR surpassed the industry by nearly 26 percentage points, declining 25.1% from the same period of the prior year and improved by 370 basis points from the third quarter. In addition, our results exceeded the primary chain scale segments in which we compete, as reported by STR, by over 5 percentage points for full year 2020 and nearly 8 percentage points for the fourth quarter. We've long focused our brand strategy on driving growth across the higher value and more revenue intense upscale, extended-stay and midscale segments and the investments we've made are paying off. In the fourth quarter, these strategic segments helped us achieve material year-over-year RevPAR outperformance against our respective industry chain scales and drove gains versus our local competitors. Specifically, our upscale portfolio increased relative to its local competitive set by over 12 percentage points. Our extended stay portfolio outperformed the industry's RevPAR change by an impressive 49 percentage points and grew versus its local competitive sets by 14 percentage points. And finally, the RevPAR change for our midscale and upper midscale portfolio exceeded these segments by 10 percentage points. For full year 2020, all of our select service brands achieved significant RevPAR index gains versus their local competitors with each of our upscale and extended stay brands experiencing share gains of more than 10 percentage points. In fact, we were able to increase our overall RevPAR index against local competitors by over 600 basis points in the fourth quarter through notable lifts in both continued occupancy gains and our franchisees' ability to maintain rate integrity. More specifically, our average daily rate index increased 2.4 percentage points, thanks to our experienced revenue managers who have been counseling our franchisees on the best use of tools to maximize their pricing strategies and providing sophisticated market intelligence and strategic channel management. We expect that our recent investments in these capabilities will further enhance revenue management for our franchisees. Despite the unprecedented circumstances, we experienced positive unit and room growth year-over-year. Across our more revenue intense brands in the upscale extended stay and midscale segments, we observed stronger unit growth, increasing the number of hotels by 1.8% year-over-year. We expect our unit growth rate of these key segments to accelerate beyond 2020's growth rate. We're especially pleased to report that following the completion of its brand transformation, the Comfort brand family return to growth in 2020, increasing the number of domestic units by 2% year-over-year. The brand reached over 260 hotels in its domestic pipeline, one quarter of which are hotels awaiting conversion which we believe will fuel the brand's growth in the near term. Demand for our conversion brands has only increased, aided by our strong value proposition and recent outperformance. In fact, the number of our conversion agreements executed and opened in 2020 was more favorable than we previously projected when accounting for the impact of the pandemic. And additionally, we awarded a higher number of conversion agreements in the month of December than previously expected. These trends give us further optimism for continued growth in 2021 and beyond. Our royalty rate remains significant source of our revenue growth, which is driven by the attractive value proposition we provide to our franchisees, their continued desire to be affiliated with our proven brands and our pipeline. The Company's domestic effective royalty rate increased 7 basis points year-over-year to 4.98% in the fourth quarter and grew 8 basis points for full year 2020 compared to the prior year. We expect to maintain the historical growth trajectory of this lever in 2021 as owners seek Choice Hotels' proven capabilities of delivering strong top line revenues to their hotels while helping them maximize return on investments. I'd now like to turn to our balance sheet and our capital allocation strategy. Throughout 2020, we transformed our cost structure, exercised prudent discipline around capital allocation and effectively allocated resources to drive top line outperformance, all of which allowed us to improve our cash position and further bolster our liquidity. We successfully navigated the impact of the pandemic without having to renegotiate debt covenants. We refinanced the portion of debt to extend our debt maturity profile and capitalized on favorable credit markets to significantly reduce the effective cost of our borrowings. In fact, we reduced our net debt by approximately $50 million during the fourth quarter and are pleased to report cash flow from operations of over $115 million for 2020, over $45 million of which was generated in the fourth quarter alone despite the historically lower seasonal demand environment. Our cash and liquidity profile continued to be strong. At the end of last year, the Company had approximately $835 million in cash and available borrowing capacity through its revolving credit facility. Our strong results relative to the industry and the chain scales in which we compete since the onset of the pandemic as well as our adjusted SG&A cost savings of 21% realized throughout 2020 gave us confidence to make certain investments in the fourth quarter to position the Company for success in 2021 and beyond. We will maintain our disciplined approach to managing operating expenses while investing for the long term and capitalizing on opportunities as travel demand recovers. Our capital allocation philosophy remains unchanged, meaning we will continue to be disciplined stewards of capital and take steps that we believe maximize value for our shareholders. Choice's primary objective has always been to increase organic growth by strategically investing back into the business. In particular, our capacity and strong cash flows will allow us to strategically invest in capabilities to further strengthen our presence in more revenue intense segments, enhance our franchisee value proposition and drive top line revenue through value-added programs and services we offer to our franchisees, guests and other travel partners. We put a premium on balance sheet flexibility and we expect to continue to utilize our strong leverage position to invest in these growth opportunities. Based on our demonstrated track record of success in our organic growth, we believe these internal investments will drive attractive returns for years to come. We will continue to monitor the environment and evaluate capital returns to shareholders in the context of other investment opportunities, our leverage levels, market conditions and our overall capital allocation strategy. Before opening up for questions, I'd like to offer some thoughts on what lies ahead. The ultimate and precise impact of the pandemic on our business for 2021 and beyond remains largely unknown as is the exact trajectory of our industry's recovery. While we are not issuing formal guidance today, we currently expect to see a sequential quarter-over-quarter improvement in RevPAR change in the first quarter 2021 versus both 2020 and 2019. Our view is based on the following. First, we are observing continued resilience of leisure demand especially and drive to locations. And the Company continues to experience stronger year-over-year RevPAR change performance versus the industry and the chain scales in which we compete. Second, despite entering the historically lower demand season, we are pleased that our first quarter domestic RevPAR change has continued the pattern of sequential quarterly improvement through mid-February. In fact, our year-to-date 2021 RevPAR has declined by approximately 18% from the same period of 2020. Finally, to date, we have seen little correlation between the rising COVID-19 cases in the fourth quarter and RevPAR change trajectory for our company. This along with optimism and consumer sentiment reflected by our 31-day plus booking trends, even before vaccines are widely distributed, signals that consumer's desire to travel is climbing. We will continue to evaluate the impact of COVID-19 across the business and we'll provide further updates in May during our next earnings call. In closing, we remain optimistic that Choice Hotels is well positioned to succeed in 2021 and beyond and are confident in how we are managing the Company for the long term. We continue to benefit from our resilient, primarily asset-light franchise focused business model, which has historically delivered stable returns throughout economic cycles and provided a degree of cushion from market risks. While we are not immune to the pressures faced by the industry, we believe that our long-term view, disciplined capital allocation strategy and strong balance sheet will allow us to continue to capitalize on opportunities during the recovery and drive outsized returns for years to come. At this time, Pat and I would be happy to answer any questions. Operator?
Operator:  And our first question today comes from Michael Bellisario from Baird. Please go ahead with your question.
Michael Bellisario: First question from me, can you maybe expand on the accelerated investments that you made during the fourth quarter? What were those exactly? How much you spend? And then, maybe how much more spend is left there?
Patrick Pacious: Sure. So let me just put it into couple of categories and put it into some context as well. I think as we look back on 2020, our first half of the year was really spent kind of readjusting our cost structure for a lower demand environment. A lot of those decisions we made really by the July timeframe. As we got further into the year and that closer to the fourth quarter, we began to see sort of how the recovery was likely to take shape. And we also began to get a lot more confident around the resiliency of our business model, the performance of our brands, particularly what we are seeing on new conversions. And so we decided to accelerate a number of things. I would put them in maybe four categories. The first is new brand prototypes. So again reinvesting back in to the future of our product portfolio. Second is around our pricing and merchandising capabilities. So our revenue optimization tools, which we'll be discussing here probably in the next month or so during our rollout of that capability. Third would be continued investments in our key segments that have outsized growth in front of them. I would point especially to the extended stay segment and the upscale segment. And then fourth is, we on boarded a new travel partner in Penn National, which is an exciting opportunity for us. So really investing in all four of those key areas is where those investments came in the fourth quarter.
Dom Dragisich: Yes, Michael, and when you quantify those impacts, I mean the reality is, when you take a look at quarter four adjusted SG&A costs, we were down about 17% for full year, we were down about 21% versus the prior guide of around 25%. So that's really the puts and takes for full year 2020 as well as Q4. I think when you look ahead, I think the follow-up question is going to be, what do we expect in terms of run rate savings from an SG&A perspective? And the reality is, we said we were looking at about 15% or so. Last quarter, we talked about that we would evaluate that in the context of the demand environment. So, I would say, somewhere in that 10% to 15% range is certainly still within reach and we would be able to flex up or flex back based on where we are on the RevPAR environment. So, the reality is, we still well maintain that margin that you're seeing this year and we expect to see that margin continue to grow for years to come.
Michael Bellisario: And then just one more, in the new agreements that you're signing, what are franchisees asking for or what terms are you being more flexible on as you're signing up new deals today?
Patrick Pacious: I think it depends on what brand category you are talking about. For our brands that are in significant demand, Comfort, WoodSpring, some of other extended stay products where we're attracting developers who are interested in joining those clubs, if you will. So there's not a lot of change with regard to any discounting or the like. I think in the more, what we call our foundation brand category, Quality, Econo Lodge, Rodeway, those are brands that have continued to - also have continued sort of pricing power with regard to effective royalty rate. I think it's - all of it’s reflected in that 7 point increase in the effective royalty rate overall. So, we're not having to do a lot of concessions, if you will, on a year-over-year basis with regard to what's in the agreements to win new contracts.
Operator: Our next question comes from David Katz from Jefferies. Please go ahead with your question.
David Katz: I wanted to talk about sort of the overall franchisee landscape and just get your thoughts on sort of what their overall financial health is. I know that it's a large population. But what changes you may have sort of structurally made to help them? How much of that endures? And just an update around all of that would be really helpful.
Patrick Pacious: Sure. So, I think if you - the long-term trend that we've been focused on for our franchisees is lowering their total cost of ownership, which is something we've been engaged in for a long period of time prior to the pandemic. We accelerated a number of things that help them reduce the total cost of running their hotel. The cost of breakfast, we have a much more flexible grab-and-go breakfast option. Housekeeping on demand has created an opportunity for guest to opt out of daily housekeeping. Contactless check-in is allowing them to do lower the labor they have at the front desk. So there's a variety of the programs that we're doing that apply to all of the brands. Within each brand category, David, there's also things that we have underway to continue to drive down the total cost of ownership for those owners. Second, I would say, the relief that was available, we believe about 85% of our portfolio took a PPP or EIDL loan back in the first draw in the second and third quarter. We think with the second draw that's been released in the late December legislation, that's likely to be somewhere around 40% to 50% at this point, have either indicated they're going to apply. So, they're getting the needed relief that they need to bridge to where we need to get to on a recovery perspective. And then finally, I would point to the fact that our brands are outperforming. If we look at how many of our hotels are operating at sort of that 30% occupancy level, it's very similar to a year ago. So, it's not a situation. And that means that they're used to operating in those low demand environment. So, I would say, by and large, our franchisee health is in a very positive place relative to what's going on around them. And certainly, with the optimism around vaccine rollout, the optimism around what we're seeing with 30-day plus bookings and the consumer sentiment that we would expect to see once the pandemic begins to get behind us, our franchisees see that as well. And so there is for them a light at the end of the tunnel where six months ago that wasn't the case. So, I think there is just a sense of optimism around that as well. But as we said on the - in the call, we're not out of the woods yet. There are a lot of owners who are still planning through these difficult times and so it's something we're very focused on. And that's again why in that long-term focus of driving down the cost of ownership for our brands, that's something that's going to continue to be a strategic focus of ours in the post pandemic era as well.
Dom Dragisich: And David, I would - and the only thing I would add is, it's really showing up in the metrics as well when you take a look at our collections rates in particular, feeling very strong - feeling very optimistic about where that's trending. We have about 96% of our franchisees who are actually paying today. And so that number continues to increase month-over-month. 100% of our system is open and operating today and so everything that Pat just mentioned and some of the flexibility that we're able to provide to our franchisees through tips and other items, really showing up in the results themselves.
Operator: Our next question comes from Dany Asad from Bank of America. Please go ahead with your question.
Dany Asad: So your signings in Q4, how does that brand mix look like relative to your existing base? Just trying to get a sense for like the incremental developer interest in your brands.
Patrick Pacious: Well, it's skewed more conversion obviously. So if it trends more towards or more higher conversion brand, so - Quality, Econo Lodge, Rodeway, Comfort Inn as well, we do what we call more higher end conversions for that brand. But as we also stated, if you look at the performance of the extended stay segment, the WoodSpring brand as well as the Cambria which are all both new construction brands, those did well as well on a relative basis. So I wouldn't - to me we do look at that to see if there's any trends there, but we feel really good about both the new construction contracts that we did as well as the conversion contracts we did across the portfolio.
Dom Dragisich: And just add a little bit of - just in terms of the percentage breakouts, Pat mentioned extended stay and that was really a shining star for us. More than 25% of the new signings for the year actually came in the form of that extended stay product. Comfort has - we talked about the resurgence of Comfort following the transformation, frankly we feel very good about where our Comfort contracts came out as well. Obviously, in those focused brands, midscale extended stay and upscale is where we're feeling the strongest in terms of those new signings.
Dany Asad: And then just for my follow-up, can you maybe just help us understand or just get a little bit smarter about what drives brand solutions as a business segment? So I guess, is it possible that brand solutions looking ahead is going to just underperform RevPAR if franchisees are pulling back or limiting services and offerings?
Patrick Pacious: So I think you're referring to our procurement services business?
Dany Asad: The procurement services, correct, yes.
Patrick Pacious: Sure. Yes, that is a volume driven business. So as the hotels fill up, owners need sheets and towels and soaps and shampoos and the like. So a significant piece of that is volume driven. If there is fewer people using the breakfast, there is a lower amount of a product that flows through that. So that's the key driver for us. There is some other revenue items that flow into that as well around brand program. So if you think about Comfort Inn where we've been doing a signage program for the new logo, that's another category of items that, as a result of the pandemic, probably slowed relative to our expectations. So there's some brand programs that also drive some of the revenue opportunity in that. And as you think about the pandemic's impact on - if you guys have - you've seen the aerial shot of the Port of Long Beach. But the supply chain disruption that came as a result of COVID, is having an impact on getting product into the country and that's FF&E, that's breakfast items and shampoos as well. So those are the items that we look at that, had a key impact on our procurement services business back in 2020.
Dom Dragisich: Yes, Dany, and financially speaking, when we were pre-pandemic, we had talked about the outperformance about procurement services revenue and we expected to see that, but in the long term, probably closer to approximating your RevPAR growth just given the fact that it is - it's very much occupancy related. The good news is this year, those revenues were only down about 26% versus the enterprise wide revenue, which is a little closer to the RevPAR stat for the full year, just over 30% or so. So from that perspective, we were able to fill in some of the gaps in terms of that revenue stream and we expect to see this bounce back in 2021 as well.
Operator: Our next question comes from Robin Farley from UBS. Please go ahead with your question.
Robin Farley: Just thinking about your unit growth for this year. I didn't hear - I don't think you guided to that specifically, but should we think about the reduction in signed agreements as potentially meaning lower unit growth this year if it was kind of flat in 2020 and agreements are down? Or do you think that conversions will sort of tick up in the year? I guess, how do you expect your growths to come in? Thanks.
Patrick Pacious: Yes, I think, Rob, that's the key is the shift to more conversion, the mix as far as the number of contracts and the success rate of opening those and the speed to open means they flow through our pipeline much more rapidly. So we feel really good about the - we exceeded what we thought we would do in the fourth quarter with regard to new agreements and I feel good about the conversion mix of that and the opportunity it has to drive unit growth. I also - if you look at our extended stay segment, particularly WoodSpring, that is a brand that when you look at the amount of time, those new construction contracts take to get signed and then open. That's one of our shortest time frames. And so seeing the growth in that brand in particular as well as the other brands in our extended stay segment, I think also will be adding to our unit growth in 2021 on a go-forward basis.
Dom Dragisich: Yes, Rob. Go ahead. Sorry, Rob.
Robin Farley: Okay. I was just - meaning that you do expect positive growth in '21. I just - it sounded like that's how you're kind of concluding. But I don't want to cut you off. Go ahead. I'm sorry.
Dom Dragisich: No, it's related to that, Rob. So we are giving formal guidance overall. But I think one of the things that I would reiterate is when you take a look at the growth of those key revenue segments, what I talked about in the prepared remarks is something that we are comfortable guiding to, which is the fact that, that growth we expect to accelerate into 2021. So those revenue intense segments grew at about 1.8%. We expect to see a pickup in that in 2021. Overall, the economy segment, you're seeing very similar trends across the industry and that's been the segment that has just a little bit more pressure from a termination perspective. That's just the nature of those contracts being less sticky. And you expect to see those trends continue as well. But again, just where we're focused as a company and just where our - the vast majority of our revenue sits in that midscale, extended stay and upscale segment, we feel very comfortable about the fact that, that unit growth is expected to accelerate in 2021.
Robin Farley: Okay, great, thanks. And just one quick follow-up, just similarly on royalty rate, it sounded like during your prepared remarks that there was a comment about sort of expecting that - that 7 basis point increase, like expecting that to increase in '21, did you mean increase more than 7 basis points or just increase something over 2020 level? I don't know if I quite understood what your comment meant in the prepared remarks. Thanks.
Patrick Pacious: Sure. Happy to clarify that, Robin. So 8 basis points for full year 2020, 7 basis points in Q4. We expect in 2021 and beyond for that to be slightly more in line with historical growth, which is the mid-single digits. We do it - frankly we did outperform what our original expectation was for 2020. So we're optimistic that we can continue to drive pace of these contracts and get closer to those rack rates. So again, I think the best modeling assumption is your mid-single digits growth, which is in line with historicals.
Operator: Our next question comes from Dori Kesten from Wells Fargo. Please go ahead with your question.
Dori Kesten: So you said that 96% of your franchisees are paying their full fees today. What was it at the trough?
Dom Dragisich: So I - what I can tell you is, last quarter - excuse me, about two months ago, it was closer to 93%, 94% of our franchisees were paying. Even in the trough, we were collecting anywhere between 75% and 80% of our collections overall. And so we are seeing that continue to increase month over month. So again, I want to be very clear, they are not necessarily paying their full fees, but our collections are trending very much in the right direction and well over that 80% mark, 96% of which are paying some form of their franchise fees.
Dori Kesten: Okay. And I guess, what would you need to see in the business that would lead you to return to paying a dividend or share purchases?
Patrick Pacious: Sure. So we've been very clear, our strategy really starts with investing back in our own business. And as we mentioned, we've been making investments particularly in the fourth quarter around our brand prototypes and our merchandising and pricing capabilities and the like. Second, we want to seek potential acquisition opportunities and when you go through a period of disruption as we're going through, that may create some opportunity. So that would be our second use of capital. And then as we've done in the past, there is excess capital, we will return that to shareholders. And so we'll be monitoring sort of the pace of the recovery to make those sort of decisions around what we might do with regard to our return in capital. So that's kind of the hierarchy of decision making that we do. And as I mentioned, we're already doing the first one which is investing back in the business.
Dori Kesten: And how would you describe external growth opportunities that you've seen to date?
Patrick Pacious: Yes, I think as we said in the past, when you go through something like this, nobody can underwrite an asset or a company until they get clarity around what the future holds. So I do think it will take a little bit of time for sellers to go through that process and arrive at sort of what they think the post pandemic world will look like and I think that will provide more clarity around opportunities that may be out there. If you look at our portfolio, there certainly continues to be white space in our portfolio that could make sense for either a tuck-in acquisition or a new brand opportunity. So we do have a lot of growth potential off of this franchising platform that I think provides us opportunities. And as we kind of get beyond the - or, I guess, further into what the post pandemic recovery is going to look like, that will help owners decide if selling at the right price makes sense for them and then we can evaluate those opportunities as they come along.
Operator: Our next question comes from Omer Sander from JPMorgan. Please go ahead with your question.
Omer Sander: Pat, I appreciate you taking the question. Just one for you - just one question on the conversions, where most of these conversions are coming from? Is it predominantly independent for competitor brands? And I guess just for context, how did that trend over the course of the pandemic and maybe before then?
Dom Dragisich: Yes, the majority of our conversions actually come from competitor brands and so obviously with the further up in the chain scale you get, the more likely you are to convert from independent to brand. So our Ascend Hotel Collection, for example, primarily independent boutique hotels that want to affiliate with a strong distribution channel, so the vast majority of our spends are coming from independent, but those are conversions. Now, the further down you get in the chain scale, the more likely you are to actually convert from a slightly weaker brand who wants to be affiliated with a stronger system that can drive more traffic, can reduce that total cost of ownership at the hotel level. So let's call it, the majority of which kind of at that Quality, Econo Lodge and Rodeway are converting from brands. Overall, regionally speaking, a lot of our conversions are also coming from the South given the fact that the South was able to really withstand some of the impacts of the pandemic as well. So again, just based on some of the things that we talked about before with 72% of our development agreements in quarter four coming from conversions, we feel very optimistic about the fact that we can continue to maintain that trend heading into 2021.
Patrick Pacious: And it's why we highlighted the RevPAR index share gains, which are really outstanding and those are things that owners who are looking to convert via from another brand into a Choice brand or from an independent hotel into one of our brands, they really want - I mean, they are expecting something from a brand and that something should be outperformance. And so we're really encouraged by the RevPAR index share gains that all of our select service brands made in 2020 and what was the worst environment that hoteliers have seen. So again, that is another proof point of our value proposition to owners and again I think that's something that we believe is going to be a real optimistic driver of future development for our brands.
Operator:  Our next question is a follow-up from Dany Asad from Bank of America. Please go ahead with your follow-up.
Dany Asad: Sorry, just a quick clarification question. Dom, when you mentioned the Company is expecting sequential quarter-over-quarter RevPAR improvement in Q1 2021 versus 2019 - 2020 and 2019, just to be clear, the expectation here, is that Q1 2021 RevPAR is going to be higher than the first quarter of 2019 in dollars?
Dom Dragisich: No, the change in RevPAR, we expect to continue to improve in quarter one versus the 25.1% that you saw in quarter four. And so just want to be very clear on that. We don't expect to see actually growth versus 2020 - 2019. We do expect to see the improvements. And frankly, when you take a look at January and February, we were down 18% year-to-date through, call it, mid-February. What I would say is March tend to be a higher demand month for us and so when you take a look at a tough comp in 2019, specifically in March, that's going to be a little bit tougher, but we still expect for the overall quarter that we would still be better than that down 25.1%.
Operator: And ladies and gentlemen, at this time I'm showing no additional questions. I'd like to turn the floor back over to management for any closing remarks.
Patrick Pacious: Thank you, operator. And thanks, everyone, for your time. As you heard today, Choice Hotels achieved some key milestones in 2020 and drove results that significantly outperformed the industry. And our recent investments we made, I believe are going to position us well to capitalize on growth opportunities in 2021 and beyond. So I hope you all stay safe and healthy and we'll talk to you all again in May. Have a great afternoon.
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending. You may now disconnect your lines.